Andrew King: Good morning all from my side. I'm Andrew King, your Group CEO and I'm joined here by Mike Powell, our CFO. I'll provide some highlights before passing on to Mike for an overview of our financial performance. I'll then give you an update on the performance of each of our business units before wrapping up with an update on some of our key strategic initiatives. After that Mike and I look forward to taking your questions. I'm pleased to report that, we delivered a strong performance against a backdrop of what were very challenging trading conditions. Macroeconomic factors have resulted in a slowdown in demand in turn pressurizing margins and profitability relative to the very high levels achieved in 2022. While EBITDA is down, the resilience of the business is amply demonstrated by the still strong margins and returns achieved and our very strong cash generation of €554 million in the period, up from €519 million in the prior period. The commitment of our people, our diversified portfolio of sustainable products, strong vertical integration and enviable cost competitiveness are what enable us to deliver strongly in these market conditions. Importantly, we are able to take a long-term view on investing in our portfolio thanks to the strong cash generation, our robust balance sheet and the confidence we have in the structural growth offered by the markets we serve. We remain fully committed to our €1.2 billion expansion investment program and we're making good progress with all projects on track and within budget. I'm delighted that we could also open up a further growth option during the period by concluding an agreement to acquire the Hinton Pulp mill in Canada provides opportunity [ph] to build on our global leadership position in kraft paper and bags. We continue to make good progress on our Mondi Action Plan 2030 sustainability commitments despite the many headwinds that arise during the economic downturn. I'll come back later to some of the exciting new products we are developing with our customers centered around sustainable packaging solutions. I remain convinced that the current slowdown in our packaging markets is cyclical rather than structural. And I believe the investments we are making today will put us in a great position to leverage the strong structural growth trends in these markets well into the future. I'll now hand over to Mike for the financial review.
Mike Powell: Thanks Andrew. Good morning everybody. So let me take you through the group's financial results and to be clear all the numbers that I talked about are for the group's continuing business, which exclude Russia, although I will touch upon that separately later. We delivered strongly in the period against the backdrop of challenging market conditions. Underlying EBITDA of €680 million and basic underlying EPS of €0.67 per share were both lower when compared to the exceptional performance seen in the first half of 2022, which saw favorable market conditions though as can be seen when comparing to the first half of 2021, it's clear that we continue to deliver strongly. The cash generation of the €554 million was up on the prior year testament to the strong cash characteristics of the business and return on capital employed, which is a 12-month rolling measure was 19.1% similar to the prior year. Here you can see the main drivers of the change in underlying EBITDA when compared to the first half of 2022. Our volumes were down driven by softer demand in part due to customer destocking and softer markets except for containerboard volumes, which were broadly flat. Selling prices were higher in flexible packaging lower in corrugated packaging. Input costs were higher half year on half year across most major categories. Now given the economic environment has been incredibly volatile over the last 12 months with significant changes seen in both selling prices and costs. On this occasion, I therefore, included a bridge of sequential performance from the second half of 2022 to the first half of 2023 to explain the current momentum that we see in the business, which I think is more helpful. Volumes were lower due to softer demand and destocking and as you can see the decline in selling prices. Containerboard prices were lower half one on half two and make up a large part of that bar. These started to reduce in the second half of last year and stabilized towards the end of the first half of this year. Kraft paper prices, which generally lag containerboard prices along with uncoated fine paper prices only started to reduce during the first half of 2023. Input costs were lower compared to the second half of 2022. Wood costs remain elevated during the first quarter, but declined during the second quarter whilst paper for recycling costs were lower throughout the period with energy costs easing from the winter months. We continue to see easing input costs as we progress into the second half of the year. The forestry fair value gain in the period was €86 million driven by a higher than usual second quarter of the year though down €53 million on the second half of 2022. As we look forward into the second half of this year, we expect the forestry fair value gain to be in line with historical averages at around €30 million. So clearly, this is a best estimate. The strong through-cycle cash characteristics continue to be a key quality of the Mondi business. Mondi has generated strong cash flows, as shown by the delivery of more than €0.5 billion in cash generated from its operations during the period, in challenging market conditions. On the left of this chart, you see our opening net debt position of approximately €1 billion followed by the cash generated from the EBITDA contribution that I've just taken you through. We continue to invest in the business through cycle. The €412 million that you see includes €310 million on our organic capital pipeline in the period, 90% of which is into our packaging businesses. And for the full year, we expect total CapEx as previously guided in the range of €800 million to €850 million, as we continue to progress on our approved expansion investments, which I'll elaborate on in a minute. The $412 million also includes the acquisition of the Duino mill, which was completed in January 23, and working capital was a small cash outflow, which got better as the half progressed and was significantly, better than the prior year. I'd still expect us to have total working capital, to revenue at the end of the year, within our normal range of 12% to 14%. The rest of the chart is self-explanatory and all that leaves us with a strong balance sheet levered, at 0.8 times, with net debt of approximately €1.2 billion. And this gives us the continued financial strength and resilience to invest through cycle in the business. And I just want to actually remind you, of our organic investment pipeline, on the next couple of slides. Here you can see, the approved expansion projects totaling the 1.2, diversified across geographies, value chains and products. We're confident in the long-term growth of the packaging markets that we operate in and our position within it, and are investing through Sample to deliver value-accretive growth and meet the growing customer demand for sustainable packaging and paper products. The pipeline is well executed. It's on track and it's on budget. The horizontal lines on this slide are representative of when each project is expected to ramp up, starting with the project's commissioning date and ending when the project is fully operational. And as you can see, these projects are expected to start up over the next two years, and then take two to three years to ramp up to full production. We look forward to completing and commissioning, the modernization project at our Kuopio mill in Finland, towards the end of this year, together with some investments in the converting plant network, and we will see their contributions from next year as production is ramped up. Some of the larger projects including the new paper machine at Steti, are only planned to start up in a couple of years and therefore, we'd expect meaningful EBITDA contribution from 2025 for these projects. As we've said, prior these projects will deliver through cycle mid-teen returns when fully operational. Our capital allocation framework and discipline has not changed. As I've just taken you through, we're investing behind the growth packaging markets that we operate within. Payments of ordinary dividends to shareholders, remains an important part of capital allocation. And as you will have read, the Board has declared an interim dividend of €0.2333 [ph] per share, following our normal mechanical process being one-third of last year's total dividend. M&A opportunities continue to be evaluated in line with core strategy, and indeed opportunities may increase in the current environment, where there are more challenging conditions and higher costs of money through interest rates. However, if we believe we have surplus capital, we'll distribute that back to shareholders on a timely basis, and all that whilst retaining a strong balance sheet with investment-grade credit metrics. Let me touch briefly on the Russian operations. As I'm sure, you're aware by now they've been treated as discontinued operations and held for sale and therefore, not part of the figures presented on the slides. We completed the sale of the three packaging converting operations during the period, and received cash of €30 million. The Board remains committed to divest €65 million. And as you'll be aware, we terminated the proposed sale to augment investments due to a lack of progress in the buyer obtaining the required approvals. As soon as that happened, we restarted the sale process and we are in receipt of a number of conditional offers from potential buyers. We continue to work through that process though, as I'm sure, you understand the situation is highly complex, within an evolving political and regulatory framework. So lastly, on to the group's technical guidance for 2023. I've referred to most of these already by now all of which are unchanged other than the net finance costs, which based on prevailing interest rates are expected to be slightly lower than previous guidance at around €100 million Q2 higher than previously anticipated interest income on the cash balances held in the group. So, let me wrap up. We've delivered strongly in the challenging markets. Our expansionary capital investment pipeline is, on time and on budget to deliver value-accretive growth, with strong cash generation and a strong balance sheet, with continued confidence and strategic flexibility. With that, let me hand you back to Andrew. 
Andrew King: Thanks Mike. I'll now take you through some more of the highlights around the business unit performance before coming back to some of our key strategic initiatives. Turning firstly to Corrugated Packaging. As you see profitability declined from the very high levels achieved last year on the back of the generally softer demand and pricing pressures. Pleasingly though our containerboard volumes held up well despite the softer overall market supported by a highly cost-competitive production base and integration strength. Similarly a robust margin performance in Corrugated Solutions despite volume pressures mitigated the effects of the generally sluggish markets. While we have seen a sharp reduction in container oil prices since the highs reached in mid-2020 prices do not appear to be stabilizing. On the demand front it seems that the worst of the inventory destocking is over and we are seeing an improvement in the order situation for our paper mills and converting operations as we enter into the second half. Similarly on the supply side at current levels we would estimate that around one-third of European recycled containerboard capacity is cash loss-making. Clearly an unsustainable position. We have seen this play out in announced capacity closures both temporary and permanent and delays or cancellations of new projects. I do expect this to continue without a meaningful change in the margin dynamics for the industry. In this context, our focus on investing in high-quality low-cost paper production with strong forward integration positions us extremely well to deliver through all market conditions. Our pipeline of new projects will enhance the leadership positions we enjoy and reinforce our cost competitiveness while also selectively expanding our geographic reach. Flexible Packaging, turning to that. You can see it delivered a resilient performance. While we are seeing the effects of the economic slowdown on demand for our products and pricing in the key paper grades has come off from the highs seen at the end of 2022 again our broad product offering very strong integration and global reach have supported the strong delivery. Prices in key kraft paper grades increased significantly through the course of 2022 as you'll remember and held up well through the first quarter of 2023 despite the slowdown in demand. Through Q2 and into Q3 we have ever seen prices come off. With demand appearing to remain soft in the short term and given the structure of the industry with significant fixed price contracts we would not expect any real upward momentum in pricing in the near-term. We nevertheless we still see good strong structural growth dynamics in this market in the medium term something that I'll come back to later in the presentation. Positively, as Mike already mentioned, input costs are generally coming off from the highest seen in the second half of 2022. Most notably Central European wood prices which were significantly impacted through the European energy crisis came off through Q2 and we'd expect this to continue into the second half. Consumer flexibles and functional paper and films delivered a particularly resilient performance as higher selling prices and mix benefits offset higher input costs and some softness in demand. Again in Flexible Packaging we continue to invest to leverage our unique platform and the strong structural growth drivers we see in our markets. Again I'll come back later in the presentation to give you a bit more color on some of our initiatives in this regard. Uncoated Fine Paper delivered a flat year-on-year result but as Mike explained excluding the higher forestry fair value gain the result was down. Our European business was negatively impacted by a sharp decline in demand. While we continue to gain market share as the long-term supplier of choice into our chosen markets the extent of the decline in demand in Europe in the first half has resulted in us taking selective downtime in our European mills. Although it's clearly a strong cyclical element to this demand decline, exacerbated again by destocking in the supply chain there's no doubt that there's also structural pressures. We are those senior supply side response with significant capacity in having left or leaving the market. I suspect that more is needed. We recently closed one of our machines at Neusiedl mill in Austria and the supporting infrastructure removing around 150,000 tonnes of capacity. While European markets have been under pressure, the South African business enjoyed a more favorable trading environment with good demand and stable pricing in the domestic Uncoated Fine Paper market. Profitability was negatively impacted by declining pulp prices over the course of the period, although it is pleasing to see some stabilizing of pulp prices in Asian markets more recently. Here we remain very focused on driving productivity and efficiency measures at our Uncoated Fine Paper operations while investing selectively to improve cost competitiveness and our environmental footprint. Turning then to some highlights on the progress we are making on some of our key strategic initiatives. Mike has given you an overview of how we are doing with our broader CapEx investment programs, but I wanted to focus specifically on our recent initiatives in the kraft paper and bags value chain where we enjoy a global market leadership position and I know is one of the less understood parts of our group. I'll remind you first of our leading global position in the kraft paper market in particular the subgrade of sack kraft. We currently produce around 1.3 million tonnes of kraft paper from five mills. We are both the largest global producer and offer the widest product range. Our extensive machine park allows us to specialize machines on different kraft paper grades giving us cost and quality benefits and ensuring security of supply which is critical for our large multinational customers. Importantly, we see good growth in demand for these products. The traditional end-use applications in the industrial space remain robust while we are seeing good growth in new applications centered around e-commerce and plastic substitution in consumer applications. The new machine in Steti, which is due to start production in 2025 will build on this leading position. I remind you that while the Steti machine is dedicated to sack kraft paper, it will allow us to specialize other machines on different kraft paper grades. So you can assume the market impact is roughly 100,000 tonnes of sack kraft and 100,000 tonnes of specialty kraft paper. I'll come back later to our latest move in the space the acquisition of the Hinton Pulp mill in Canada. Turning quickly to this chart which illustrates our leading position in the global sack kraft market quite clearly. We are the largest sack kraft producer by volume as the most machines dedicated to its production and are the largest player in the downstream converting market. No other player can match our scale, geographic reach and integration strengths in these growing segments. Looking at the downstream presence in the paper bags market, we currently sell over six billion bags per year with leading positions across Europe, North America, Middle East and North Africa. We see good growth dynamics in these markets and our scale, efficiency, reliability and quality give us confidence that we'll continue to grow market share. Focusing briefly on our position in the Americas. We are currently the number two player in the US market, enjoy a significant market leadership position in Mexico and have a growing presence in the North of Latin America. Summarizing then our strategic position. We are a global market leader in both kraft paper and paper bags. Our integration across the value chain brings real competitive advantage and high barriers to entry and we see good growth prospects in these markets. As I already mentioned, the recently announced acquisition of the 250,000 tonne per year Hinton Pulp mill in Alberta Canada builds on this platform. We are excited by the opportunity it brings to invest in a new paper machine on site giving us a cost competitive fully integrated production base for high-quality extensible sack kraft with capacity of around 200,000 tonnes per year, a grade which is currently not produced in North America. The cost competitiveness comes from a combination of highly cost-competitive wood resources supplied mainly through a long-term supply agreement with West Fraser and good logistics into the main end markets we serve -- we intend to serve in North America with the majority of the volumes intended for our bag converting network in the Americas. Access to these high-quality sack kraft grades will ensure we are extremely well-positioned to continue building on our leading market positions in the large and growing Americas market. Turning then to our sustainability commitments. I'm pleased to say, we're making good progress on our Mondi Action Plan 2030. As you know, this encapsulates the group's sustainability commitments and guides the actions we are taking for the next decade, circular-driven solutions created by empowered people, taking action on climate. On Circular Solutions, while we recognize the short-term headwinds created by the global macroeconomic challenges the cost of living crisis energy security concerns and the like, we continue to make good progress in developing solutions for our customers that are fully recyclable, compostable or reusable. By way of some examples, we launched a paper band to hold individual products such as bananas and we continue to gain recognition for our sustainable solutions in retail applications such as our Hug&Hold solution to replace plastic shrink wrap in for example the wrapping of soft drink bottles. Recent investments in Poland are also expanding our capacity in mailer bags and an alternative to plastic wrap in e-commerce applications. In the period, we also completed our most recent group-wide employee survey. We got a lot of positive feedback and also areas for improvement to ensure we meet our ambition of being an employer of choice. Important now is we take this feedback and implement the necessary actions to task our teams throughout the group are embracing. We continue to work hard to build our leading -- on our leading safety performance, striving to ensure our people return home safely every day. Finally, we continue to work in taking action on climate. Greenhouse gas emission reductions is clearly the key focus with ongoing investments in our facilities to reduce our Scope 1 and 2 emissions and increasing focus on Scope 3 emissions requiring strong collaboration across the supply chain. To summarize again then, we delivered a strong performance in the period in what were and remain challenging market conditions. This is a testament to the inherent strengths that we enjoy as a business and a fantastic commitment of our people. Our focus on operational excellence, customer service, and quality our highly cost competitive asset base, and strength in integration bring real advantage. This gives us the confidence to continue investing in the business in support of the structural growth, we see in the markets we serve, ensuring we are well-placed to continue delivering value accretive growth sustainably. With that, I thank you very much for your interest and welcome any questions Mike will facilitate. 
A - Mike Powell: Thanks, Andrew. So we have a number of questions coming through. If I could take the first one. Cole Hathorn from Jefferies. Good morning, Cole.
Cole Hathorn: Good morning, Mike, Andrew, thanks for taking my questions. Can I start with one to better understand the Hinton Pulp mill acquisition, am I right in understanding that you're getting the pulp mill for kind of a low value and then you're putting in the €400 million. So that -- the fact that you're getting the pulp mill for the low value that's going to be able to allow you to generate your 15% return on capital. And when I think about that business can you talk about the fiber supply agreement with West Fraser Timber. So you're getting low cost? And maybe some of the specifics considering you called out your leadership position in -- on slide 19 with your sack and kraft paper business. But maybe just explain why if you're operating in premium sack you can produce the grades lower on your machinery but people can't compete with you on that premium grade? Thank you.
Andrew King: Yeah. Thanks, Cole. I think for us this is a very exciting move. I mean, as you rightly say in terms of the acquisition price, it was a low price. Very much for us this is an expansionary project that we are looking at here. So what we acquire day one is an unbleached kraft pulp mill a 250,000 tonne mill. Obviously, we're in an area with vast experience of pulp and paper production. So we're very excited to have a highly skilled team coming with the pulp mill, but our intention very much is then to forward integrate that pulp into a high-quality extensible sack kraft. We have performed as you could imagine a significant number of tests on that -- the pulp itself because you need a particular quality of pulp to be able to produce the high-end sack kraft products, and we're delighted with all the characteristics of that pulp and that gave us the confidence to look at this project for forward integration. So yes our intention is very much then to spend the CapEx in expanding on that pulp resource by forward integrating into 200,000 tonne sack kraft machine. There will also still be market pulp available after that as well, but it will be relatively small pulp sales. Why is it -- why are we confident this is highly cost competitive and frankly it's very difficult for others to replicate? Firstly, as I said the quality of the pulp itself is very important which in turn comes from the quality of the timber resource. We have a long-term supply agreement with West Fraser, who owns the forestry in the area and also very importantly the sawmill activities. And as you know, there's always a symbiotic relationship between pulp mills and sawmills. So West Fraser is much focused on what they call the upstream business of trees and sawmills. As you know our expertise is in pulp and paper production. So I think there's a great marrying of capabilities there. We will be enjoying the benefits of a lot of the off-take of the chips from the sawmill, which is on-site coupled with the other sawmills from West Fraser. And the supply agreement, we have we are very confident that the cost of timber will be highly cost-competitive on a global basis. That in turn gives rise to the cost competitive of the pulp mill and in turn also the paper. What we also have that simply others don't have is, a, the expertise in this type of paper production because this is a very sophisticated form of paper with which is extensible paper. It stretches breeze. It's extremely strong. And I think, it shouldn't be underestimated the depth of capability we have in our group in this particular product which is simply not available to others. And then of course, we also have the forward integration benefits. Our Americas business continues to flourish to grow well and obviously logistically getting paper on trains to distribute into our Americas bags business is simply something that's not available to others and gives us real competitive advantage there. And this is an area which I think has been underinvested typically in the North American markets for various reasons. But certainly for us, it's a core product with strong vertical integration benefits. And I believe also really exciting growth prospects. I mean, as you might have seen recently for example one of our key e-commerce customers mentioned that they are now doing away with plastic wrap on their products the obvious alternative to plastic rapid e-commerce packaging is paper bags. It's a big growth driver in both -- already in the European markets and I'm convinced it will also be in the Americas market. In addition, as I said to the traditional uses of paper bags which continues to develop very strongly. So, I think it's a combination of all those factors which gives us a lot of confidence that this is a highly -- going to be a highly cost competitive production base with very strong integration benefits and all of that combined, gives us really confidence that we'll deliver superior returns through this investment.
Operator: Thanks, Andrew. Cole, did you have a second question?
Cole Hathorn: Yes. Just as a follow-up going on to the division specifics. I'm just wondering, how you feel about the cyclical side of things. I mean, your release seems to call out that you feeling containerboard starting to stabilize with pricing and kind of volumes here. Could you just talk maybe about the second craft paper business as you've taken a fair amount of downtime on the production side? I'm just wondering, where we are in the destocking cycle in the flexible packaging business. Thank you.
Andrew King: Yes. I think Cole, as you know the cycle is somewhat different in the paper-based side of flexibles. I think, one should differentiate between call it the more the paper-based solutions and the consumer flexible side, which has been very robust throughout this as you would expect, because it's a highly defensive business in a lot of senses. Just in terms of the journey on the sack kraft side in particular or kraft paper more broadly, as you know, I mean the pricing was going up sequentially through the whole of 2022. It didn't go up as fast as the containerboard grades. Containerboard peaked in about mid of 2022 and then has been coming off since then. Kraft paper really peaked towards the back end of 2022, resilient into Q1 and then you started to see some price erosion into Q2 and we've said very clearly a little into Q3 as well. I think it typically is a sort of later cycle product than the containerboard grades. That said, we obviously operate very much on a global basis in sack kraft, as we demonstrate from those slides. So the different regional markets that we serve, both in the upstream and the converting side are seeing different dynamic supplier. So Europe has clearly been softer. The Americas is much more resilient, similarly to -- similar with Middle East, North Africa. So there are different -- the different markets have been reacting somewhat differently. I think even within Europe, you see different end users reacting differently. It's interesting the building materials. I mean everything is off year-on-year again of very high comps from a volume perspective, but you're seeing things like the building materials actually be fairly resilient relative to call it cement and chemicals and the more I suppose cyclically influenced business end users. So I think -- yes, I mean, we're calling obviously pricing to be sequentially softer. I mean just on averaging effect. It will be lower in the second half. I think the destocking is coming towards an end. But obviously at the same time, I think Cole, as I said in my opening remarks, I think it's too soon to call any kind of pricing -- upward pricing momentum in the sack kraft grades at this stage. I would suspect that's into the New Year before you'll see that.
Cole Hathorn: Thank you.
Operator: Thanks, Cole. If I could move on to the next question, which we'll take from Lars of Credit Suisse. Good morning, Lars.
Lars Kjellberg: Thank you. Thanks for taking the questions. Moving on to the prior question. Generally there's a lack of outlook across in your statement this morning. I appreciate, there's a lot of uncertainty. But given where we sit today, you kind of discussed about improving order books on the containerboard corrugated side. You obviously gave some details now on the kraft paper side. How should you have us think about H2 versus H1 in sequential profitability and taken out the forest value gain which of course can be anything? And with a particular focus then I suppose on price over cost, what you can see today in terms of your cost base? And then I also, wanted to just stay with the Hinton Pulp in a bit. I suppose the -- or one conclusion, one could draw is the low price reflects a cost base of potential investment needs in the pulp mill. So can you give us any view on are you intending to reinvest in the pulp now as part of that €400 million investment, or is that completely dedicated to the paper machine? And then final point, wood cost. You mentioned it has declined through Q2. How do you -- can you quantify? And then what do you seeing for that particular item heading into H2? Thank you.
Mike Powell: Thanks, Lars Why don't I start with wood costs, because that plays into the sort of cost as we go into the second half and then Andrew can talk about the commercials as we head into the second half which includes both selling price and the cost and then we'll get on to then. No, wood costs, as you know, we called at the beginning of this year that we believe that they would ease through the year. We have certainly seen that into Q2 and I would expect to see that continuing to Q3. You have to really dissect it, because wood costs in Central Eastern Europe went up quite sharply through Q4 of last year stayed high in early parts of Q1 and have come down in our purchase basket through Q2 and I think they will continue to fall into Q3. Scandinavian market is slightly different. They didn't go up as sharply, but they have stayed at relatively high levels through Q1, Q2. There's less sign of those easing to be honest last. So -- but a large part of our basket is Central and Eastern European, we've seen ease through Q2 and I would expect to see that continue into Q3.
Lars Kjellberg: Can you quantifiy…
Andrew King: I think Lars just working backwards. I mean, on the Hinton investment, I mean, you're correct in the sense that that $400 million indication analysis, we don't actually own the mill yet. So we have to complete on the acquisition. And then obviously, we will be working up the project feasibility, and et cetera. But certainly the $400 million includes not just obviously, a paper machine on its own, but also the related mill infrastructure the upgrade of the pulp mill and the like as well. So it's not purely that. Similarly, I mean, it happens to be a similar number that we are investing in Steti. But as you know that also incorporates a paper machine plus pulp mill upgrade and the like. So it's not purely the cost of a paper machine and its infrastructure. In terms of forward-looking call it guidance, I mean, you're correct in that obviously, I think, it's an uncertain world there, I think, under any number of moving parts and that makes less complicated at the moment. But I think I would say is, there are indications, and positive indicators out there. I look at the order situation and it's definitely stabilizing. And I think it's interesting that we are starting to see a more regular pattern of ordering from our customers. I mean, we've had anything, but regular over two to three years when you consider the ups and downs and volatility created from COVID, through energy crisis, Ukraine, et cetera and all the implications of that over the last number of years where everyone is having to manage between volatile sort of situations. And volatile up and down I think sometimes people always see volatile means only done. I mean, it's been volatile both up and down. And it would appear to me certainly that when you start to see our order situation is now, it does feel more -- it's getting more again, which is frankly encouraging. And I think stock levels in the containerboard grades seem to be sort of normalizing on an industry basis. All of these type of indicators are encouraging. But of course, it's always extremely difficult to call it call a turn. And I think that's always a location. And -- but what we know is for FX is what we say in that outlook commentary is entering into the Q3. I mean, prices are down on average versus the first half, because by definition letting all through the first half. But at the same time costs are also coming off. And certainly, we would seem to -- it feels as though there's more to come on that regard. I mean, wood is obviously one of the big drivers. In Central European, wood costs as you know were very adversely affected through the energy crisis, but we have seen that turn and it's coming off, and I think there's more to come on that. Scandinavia would cost, which we are not as exposed to, but we do have some exposure seems to be a slightly different sort of cycle they didn't go up as fast as Central Europe, but they still seem to be progressing sequentially up to maybe flattening now. So, yes, moving parts, but I think what's also important to, Baren, and what gives us confidence here is, and I know this sounds strange, but there is clearly a lot of pain out there. I mean, we are seeing -- you take that cost situation in recycled containerboard. I mean, there is a lot of capacity, which is underwater right now it's manifesting in the short-term in a lot of commercial downtime. But I think that is not a sustainable picture in the -- even in the medium-term. So is it a demand-side recovery or supply-side rationalization, but these things will happen one way or the other. So I think that also gives us confidence that we're seeing the worst of it right now. 
Lars Kjellberg: Thank you.
Mike Powell : I can take the next question from Charlie of Exane BNP. Charlie? Good morning, Charlie.
Charlie Muir-Sands: Yes. Three quick ones please. First, on wood, since Central European markets aren't sort of well-tracked in terms of public data, could you just give us a feel for the quantum of wood cost headwind you had in 2022, so we can understand, obviously, if it unwound where might we eventually get back to? Second question relates to Russia. I appreciate that discussions are ongoing with potential buyers, but you do a small relatively say that a small impairment of the value in the net book now is about €850 million, if you were to achieve that is that what you'd receive, or would there be a tax on that? I'm just trying to understand the potential there. And then, the third and final question just relates to your MAP2030 program. I think last year you said 83% of your sales were recyclable reusable or compostable. I just wonder where do you expect you might be at the end of this financial year in that regard. Thank you.
Andrew King: Charlie, should we work backwards. I will take the third question and maybe Michael take wood and Russia. On the MAP2030, yes, I mean as you know our commitment is to drive fully in our full portfolio to be recyclable compostable renewable. I can't -- I mean I don't know what the exact number is in terms of the percentage today at the half year and it's – frankly, it could be a bit misleading, because half year numbers are invariably impacted by seasonality and things like that. So, one always looks a bit more on an annual basis. It's safe to say we are making very good progress from a development perspective in terms of developing alternative solutions to -- if we do have products which are for example nonrecyclable in our portfolio, I think we -- our development and innovation teams are working very hard to develop alternative solutions. I think the challenge at the moment is obviously also introducing those into the market, because as I said in my commentary, clearly in the economic downturn you -- invariably people become that much more cost conscious and also frankly, a little bit more conservative when it comes to introducing new product categories and the like. And I think that is playing out to some extent. But having said that, our customers remain very committed to driving the change their customers in turn want to see, so they want to need these products but obviously the rate of adoption, I think it is fair to say has slowed down somewhat. But I'm convinced that the trend remains very clear. So, in short, I think we're doing everything we can on our side. But of course, it also takes our customers to adopt some of these solutions. And that is always a difficult thing to predict as to how fast that rate of adoption happens. But the long-term trend is very clear. All the conversations we're having with our customers' points to a rapid desire for these sustainable solutions. And of course the regulatory environment is also incentivizing these sort of changes. So we're very convinced that the long-term trend is clear. Sorry, maybe Michael, can go to the other questions.
Mike Powell: Yes. Thanks. Let me take Russia first, Charlie. I mean I think the important thing on Russia is the Board remains committed to divest the mill. We have clearly -- we clearly continue to run a process. We believe this is a good asset that a number of people are interested in. It's clearly quite a difficult environment and a difficult process for all. And therefore, the Board has taken a judgment on the valuation, which you've talked about. I think the first thing we need to do is agree a deal which we haven't done at this stage. And as soon as we've done that we can clearly give a bit more clarity, because only once you've done that do you know all the answers or at least some of the answers to the questions you're asking. So I think at the moment, we've taken our best judgment from the available information. We continue to work it hard. And clearly if it moves forward to a position of any change from that that we've said either in the past or today, we'll clearly update the market soonest. In terms of wood costs, I mean I said last year, we spent about €1 billion on wood last year as a rough number. That was weighted towards the second half, probably 45%, 55% something like that 40% 60%. Again, first half of this year has been relatively high so not that different to the second half of last year, because of course it takes time for that -- for the wood prices to fall and then come through the income statement. I think the question therefore is, how low can the second half be? We don't know that yet. But sequentially, so half two on half one, we've certainly seen in Central Eastern European wood prices coming off certainly high-single-digit, low-double-digits, so meaningful as we move into the second half of the year. Does that help Charlie?
Charlie Muir-Sands: Great. Thank you very much. Yes, very helpful. Thank you.
Mike Powell: Next question is from David O'Brien. David, good morning, Goodbody.
David O'Brien: Good morning, guys. Can you hear me okay.
Mike Powell: Yeah. Very well. Thank you.
David O'Brien: Great. Thanks for taking my questions. If I could start on corrugated first. It looks like volume is down 8% to 9% in the first half order, could you quantify what the exit rate is coming into the Q3 period? And maybe just a little bit more color on what's driving the improvement in order patterns. Is it certain customer types, or is it just a broad-based look we've run our inventories down and just have to start ordering more normally. And I guess you've also talked about the pain out there and potential M&A opportunities. Are you seeing more M&A coming over your desk or opportunities to take advantage of some of that pain? And then in UFP, so clearly a difficult environment. You've taken actions to streamline production by closing the mill in Austria. What benefits should we see from that into the second half? If you could quantify them or maybe if there's a benefit into 2024, if you could call out as well from just that streamlining of production, please?
Andrew King: Yes, thanks. There's a few questions wrapped up in that. So I think firstly on the corrugated kind of volume situation. So I mean I always remind you in terms of our converting position in corrugated, we're very much regionally focused in Central Eastern Europe and Turkey. So it's never a reflection of the overall market dynamics. But – and I think the other caution, I'd give at the moment of course is because of all this volatility around the comps and things I confused the story to some extent. I think in simple terms in overall volumes, they've been roughly flat Q2 on Q1, in terms of relative to prior year that indicates an improvement quarter-on-quarter but that's because the comp got progressively easier if that makes sense. And I think it's the same sort of play out into the second half because it was the comp gets progressively easier because it was really from the middle of last year that you saw a turn in the markets and the softer demand picture. So one has to be a little bit careful how one interprets the sort of year-on-year numbers and the like. But certainly, it feels to us as – as I said, sequentially things stabilized. And I guess more importantly going into Q3 in – for us both the upstream and the converting business the order situation seems to be sequentially improving, I would say is the way to describe it. What is driving that improvement? No I think you wouldn't point to any one segment or any one area of recovery so much is more frankly geographically is where you sort of might see differences as opposed to end users. I mean Turkey's had a very up and down time but obviously – but it does seem to be getting better which is encouraging. And similarly Central Europe also feeling a bit better but it's not one comport point to different end markets per se as being starkly different from each other. Your question on M&A. As we said at the full year results I mean clearly in a more challenging market environment, potentially it gives rise to greater – it gives more strength to buyers over sellers I guess. But obviously, one has to be careful to know what you look at. And as always one is to retain one's disciplines but it always is and remains an avenue for us to continue to explore. But does that give rise to anything? That's always impossible to put a prediction on. But we continue to look for opportunities that give us synergy opportunity in the footprint that we work and where we believe we have strength and we will continue to do so and that applies across our packaging offering. In terms of the fine paper question, I think it specifically related to the restructuring at Neusiedler. I mean it does take a bit of time for the benefits to come through because obviously your restructuring doesn't just happen overnight. I mean we're in the process of optimizing it, now so the machine is closed and obviously, all the related infrastructure and resources around that are being reorganized at the moment. I certainly expect some improvement in the underlying cost base into the second half. Obviously, much of the sort of profitability improvement also depends on the market dynamics in the short-term. And frankly that overrides I believe in the near term changes in the overall cost base. So it does have an effect but it's not that material in the overall picture. But obviously, what it does mean is we are able to optimize the remaining machines in Neusiedler, which are the smaller more agile machines focused very much on the specialty products, which is where we can make money in those – in that mill, with Ruzomberok, we've been in Slovakia being our bulk business, where we focus very much on the bigger volume grades.
Mike Powell: Thanks, David. Okay, conscious of time, Dave, want to be respectful of your time and finish at 10 o'clock. We'll see if we can get two more in. First one from Justin Jordan at Davy. Justin?
Justin Jordan: Thank you. Good morning, everyone. And thanks for the additional disclosure in sack kraft and paper bags. Just using that turning to Slide 19. I suppose first two quick questions on paper bags. Firstly, it would appear like you're down about 8% year-over-year in the first half. And I appreciate there's a mood end-markets and different geographies here. But can you give us some sense of is that sort of indicative of underlying end-market demand down about 8% or are you gaining share? And then secondly, I suppose, do you have any sense of within that minus 8%, how much of that is destocking and how much is underlying demand weakness? And I appreciate that's difficult to disaggregate. Thirdly, there is a Russian competitor that recently sold its European packaging operations to the Luxembourg firm. I don't know has that in any way changed the competitive dynamic in recent months and specifically in European Sacks? Thank you.
Andrew King: Yeah. Thanks Justin. I'll take those. I mean, in terms of -- I think it is fair to say, we typically have been gaining share as a -- it's always difficult because it's -- we frankly operate on a global footprint you can look at individual market shares et cetera. We have been very successful and I think we continue to be very successful in gaining share in all the markets that we operate, because frankly, we are by far the biggest demonstration I would believe and frankly have the best quality of product and service. You might say, I would say that, but I think our customers would also agree with that. And that really gives us a fantastic -- and of course our integration strength as well is, key in this as well. So I think that those attributes really allow us the opportunity to continue to both expand on a global basis, but also gain share in markets that we are already present and ownership positions. And so I think, you've seen over the years you would see over the year that we have progressively gained share of developed out that business. In terms of destocking versus underlying demand as you rightly point out that that is an extremely difficult question and one frankly, I would leave in hazard guess. I mean, it's impossible frankly to unpick all of that because you don't have total transparency through the value chain. But undoubtedly, there has been an effect of destocking which has been a common theme across most segments because again one, mustn't forget that it wasn't long ago that everyone was nervous about security of supply and we're building up stocks wherever possible. But of course -- and also with anticipation of price increases coming through of course the reverse happens when prices have been moving down when supply has been available and then everyone almost takes the reverse position but to disaggregate and give you sort of firm numbers I think frankly would be misleading. I cannot remember, if there was another question.
Justin Jordan: Yeah. Sorry, just on the sanctions -- so you guys just help to sorry Luxembourg investment firm whether that in any way has changed the competitive dynamic in recent months?
Andrew King: Not that we can see. I mean, obviously the main change was when the Russian kraft paper was no longer allowed into Europe, because of sanctions. And that clearly did tighten things up the volumes out of Russia on the kraft paper side I think are far more relevant to us than the converting capacity that remains in Europe. It's very difficult for us to tell what's happening with that competition.
Justin Jordan: Thank you.
Mike Powell: And Justin, I'm going to squeeze one last one in which is James Twyman, from Prescient. James, mic is yours.
James Twyman: Thank you for the – all the disclosure. Two quick questions from me. Sack paper production was down 17% in the half, which was a lot less than bagged -- the bag decline. And given that Russian exports should be reducing, could you talk around why that decline was so large? And then secondly, in uncoated paper you mentioned Ruzomberok is your bulk business. And therefore, there's not really a lot of interaction between that and new sealer I'm assuming, given that market is declining potentially fairly sharply, what's your plan there to convert product from uncoated to other products? And my assumption is, that it's not a huge cost for you. It's something that you can manage in the mill, but I'm just not sure about that. 
Andrew King: James, I think -- I mean that's your question on the sort of -- and I think you're looking at the production stats, just to be clear, those volumes we show production as opposed to sales because sales is difficult to sort of disaggregate between the different segments. But I mean, a lot of that is to do with the destocking. I mean, we've also been sort of managing stock levels and the like. And we have taken downtime in our kraft paper machines, to ensure our stock levels don't get to unmanageable levels. So, it's a function. It's partly a function of that. Obviously, we also sell into the outside markets in kraft paper. So, that's not a direct correlation between kraft paper and the bags business. But it's also safe, as to my previous comments to say, that our bags business has done exceptionally well in a difficult market environment. So, it's a combination of those factors.  In terms of the plans around Ruzomberok, I mean very clearly, we see Ruzomberok as a core asset selling into all the Central European, fine paper market. We think it has a great position in that market. Our customers value that security and reliability of supply. We know there's a lot of pain in that market, at the moment. We are seeing supply side changes. We certainly believe, we are the supplier of choice into that market and we remain committed to supplying those customers. I agree with you that the asset base in Ruzomberok does offer flexibility over time. I mean you -- as you know, we invested in that new containerboard machine in Ruzomberok. We also have a kraft paper machine at Ruzomberok. And given the great asset base there, the great people we have there and the flexibility of that all that gives -- there are options we can look at down the line but certainly, it's not a near-term priority.
Mike Powell: Okay, James. Thank you very much.
Andrew King: Good. Well, thank you very much everyone. I see we're on the hour so, we will let you go. But again, thank you very much for your interest. Just to remind you, I think we have delivered strongly in what we fully acknowledge is a very challenging market environment, but investing for the growth that we do see in these businesses, and the strong structural growth that we know is out there, and really building on that fantastic platform that we have in the different packaging businesses we operate in. So, I look forward to continuing the conversations. As always, Fiona and team are available, if you have any follow-up questions. But otherwise, thank you very much for your attention and goodbye from us.